Santiago Donato: Good morning, everyone. I'm Santiago Donato, Investor Relations Officer of Cresud, and I welcome you to the first quarter 2025 results conference call. First of all, I would like to remind you that a replay of this webinar, the presentation and the earnings release will be available on our website at www.cresud.com.ar. After management remarks, there will be a question-and-answer session for analysts and investors. [Operator Instructions] Before we begin, I would like to remind you that this call is being recorded and that information discussed today may include forward-looking statements regarding the company's financial and operating performance. All projections are subject to risks and uncertainties, and actual results may differ materially. Please refer to the detailed note in the company's earnings release regarding forward-looking statements. I will now turn the call over to Mr. Alejandro Elsztain, CEO.
Alejandro Elsztain: Good morning, everybody. We are beginning our first quarter 2025 results. This year, the regional campaign is showing us an increase in planted area comparing last year numbers. And the one that is mainly explaining that is Argentina in the growing leasing areas in the country. We are beginning the campaign. The conditions are good. The good -- not so good in the case of the winter crops in Argentina, but the rest -- yes, for the rest, mainly summer crops, soybean, corn and with the March more stable commodity prices comparing last year's where there was a big drop and some slight input cost reduction that we are seeing, so recovering some of the margins of the activity. Related to wheat, the wheat was 100% planted, and now we are close to be harvested in November, December and with some drought areas in Argentina decreasing some of the result, but still early to speak. In the case of soybean in Brazil, 45% is being sold, so planted in Brazil. So it's a normal campaign, a little delayed 2 weeks later in Brazil. But after the rain, the conditions are recovering. There were 2 transactions related to real estate in the quarter. One is in ?Los Pozos farm undeveloped land and other one is in Alto Taquari in Brazil, I will show you later. We received many dividends from the companies and the total dividend we received in Cresud was close to $53 million. BrasilAgro gave us close to $10 million IRSA $43. With the 2, we're distributing dividends these days for investors, close to 7% dividend yield. And so the company is in a very good shape today and doing this activity in the first quarter. Saying that, I will now introduce Diego Chillado.
Diego Biaus: Thanks, Alejandro.  Good morning, everyone. On this page, we can see the planted area evolution. Cresud this year is increasing the number of hectares and sowing under planted area. We are expecting to plant 303,000 hectares in the 4 countries where we operate in Argentina, Brazil, Bolivia and Paraguay. So this is a 9% increase comparing to the last year to the previous campaign. Mainly we are expanding our surface in leased farms in Argentina, but also some in owned farms. Regarding our breakdown, we keep having a diversified mix of crops, but mainly soybean and corn, and we do some sugarcane in Brazil and Bolivia as well. Next page, #4.  Here, where the commodity prices and the cost. In this page, we can see the evolution of the commodity prices. The 2024 campaign was marked by the down pressure on international commodity prices, as Alejandro said, and the beginning of this new campaign maintained the low price level, part of the peak reached after the pandemic and the war in Ukraine and Russia. Regarding input costs, they are adjusting a little bit, but are still high levels compared with -- to the commodity prices, affecting, of course, part of the regular margins. The good part of that is the inputs are starting to correct a little bit. Next page, #5.  In this page, we can see the regional weather condition in the region and the soybean progress. After 2024 campaign, we experienced the lower yields in Argentina and Brazil both due to the lack of rains. This 2023 campaign is present with the weather -- the good weather condition, La Ni�a Phenomenon that was packed at the beginning of the season has bad in the last weeks, we received a good rains, mainly in Argentina. With that, regarding the soybean progress, we have planting as Alejandro said, 100% of the wheat in Argentina and the rest of the crops. The total region in -- for soybean is 27% for soybean and 10% for corn. Now, Alejandro?
Alejandro Elsztain: Talking about our real estate activity, we closed this quarter the second portion, second fraction sold. Here we see on the map. Last year, we sold the first fraction. And this year, we are selling the second. This second is 3,600 hectares, undeveloped, totally undeveloped. The sale price of this fraction was $2.2 million, $614 per hectare comparing to the acquisition and the CapEx invested in the last 30 years, close to 30 years, that was $15. So a profit of 41x the price acquisition. The accounting gain is almost all $2.1 million, and we have still a remaining surface of 231,000 hectares (sic) [ 231,700 hectares ] in the farm. So this shows the big gain the company is having in the developed and in the undeveloped regions of the farms we bought a long time ago. The other big fraction sold in the quarter was done in next page in Brazil, Alto Taquari that was mentioned before, but was implemented this quarter. This was 3,700 hectares sold area, and this is of 2,700 total sold area -- hectares, but this smaller fraction was done this quarter was 1,100 hectares. So the remaining part selling price of BRL 190 million, a big gain, close to BRL 100 million gain. So this in an developed area where we did a lot of sugarcane and the big transaction in internal rate of return, we bought that for $4,000 -- $5,000 and we were selling later for $25,000 or more in Brazil in the Mato Grosso area. So saying that, we had the first quarter, some activity in undeveloped and developed area. And so we expect to have this in the next quarters the same. Saying that, we can move now to Page #8 and see the evolution of our service company, agricultural commercial service company called FyO. FyO, that began 25 years ago. And this last week, we had the party for 25 years, became the biggest broker of the country in inputs, outputs, commercial services. And here, we see the evolution of volume of tons. So we achieved last year 6.83 million tons, representing close to 6.1% of the market share of Argentine grain total market. So this is a very strong evolution. And the ABT or EBITDA, we are seeing $25 million or $30 million last year, so showing a very strong company, just pure servicing farmers using the volume of Cresud, but not only Cresud represents today close to 4% of the volume of FyO and became not only very relevant in Argentina, now launching the story in Brazil through [indiscernible]. So this service company is expanding its operation in the rest of Latin American region. Saying that, I will now introduce Matias Gaivironsky.
Matias Gaivironsky: With all those effects, we finished the quarter with a negative number on the net income of ARS 72.3 billion attributable to our controlling interest, ARS 39.5 billion, and the rest is the noncontrolling interest. About our debt, we see a reduction in our net debt evolution from $421 million in fiscal year '21 to $310 million currently. The net amortization schedule, we see some amortizations during this fiscal year that we announced last week that we will issue a new bond to pay down and to refinance that amortization. So we are in the market issuing a new bond for 4 years with maturity in 2028. So we will close that next Wednesday. As Alejandro mentioned, the dividends, we paid a dividend yield of 7% that we already distributed that in Argentina for our ADR holders will happen in the next probably 15 days, the payment or 20 days, and we don't anticipate any further delay like other years. If we see the evolution, we have been paying good dividends for the last 3 years. And this year will be at the blue-chip swap around $38.8 million. And finally, about the repurchase of shares, we announced a new buyback program for ARS 6.5 billion with a maximum amount of $12 per ADR or ARS 1,500 per share. So we haven't started yet the acquisitions of shares. So we will start executing this program in the coming days. So with this, we finish the formal presentation. Now we open the line for the Q&A session.
Santiago Donato: Well, we start with the Q&A session. [Operator Instructions]. We have the first question. Given the administration's push for deregulation, particularly in the agricultural sector, do you see any specific opportunities emerging for Cresud? Could you discuss how the liberalization of agricultural export controls, land permitting and elimination of export taxes might benefit Cresud operations?
Alejandro Elsztain: For sure, this government is speaking from the very beginning about how to support the very relevant agricultural sector. The President went to the [indiscernible]	 that is fear, I think, exposition. I don't remember the name in English, but where he was speaking to the farmers and ask him for some patience. He said that, first of all, the reduction of the gap between the $2 would benefit dramatically. And I agree with him that, that main gap of the 100% or more than in the past comparing to today or 10% or 15% to the blend that the farmers are receiving is the bigger benefit for the farmers for sure. The second will be coming from taxes on exports that the government still didn't do almost nothing. He did some small percentage in some categories in cattle, but really nothing relevant. But the government is waiting for the recovery on the taxes before giving taxes to farmers. And the farming industry, the farmers are waiting for that with patience, I think, because the show -- everything that the government is showing is in favor of farmers for Argentina. For example, reducing the taxes for imports that is affecting the input costs. So the combination of factors is -- and something that the government is speaking about the foreigners buying more land than they were permitted that it's coming, too. So all these thing is bringing liquidity to the land and that liquidity to the land brings a big opportunity to farmers because Argentina was close to be disconnected to prices of the world at times that in U.S., when the prices were going to the $17 or $18, the farms of U.S., Brazil and all developed countries were going to peaks, but Argentina was not receiving that benefit. Today, after the relation that the government and the official activities of the government are going to farmers, this is probably to be reduce the gap of price of the land that Argentina was disconnected. So it's going to bring more liquidity to farm, new players to buy new farms because they are going to allow in bigger size, it's reducing the gap and the reduction of gap brings you more dollars in your pocket before you were doing a lot of official dollars. But when you make the calculation of what they were in blue chips, really was half or less. So farmers are benefit and are going to be more benefit with the new measures that we are not waiting for the short term. But I would say, in a year period, I would expect some of that coming to the agriculture industry.
Santiago Donato: Thank you, Alejandro. I have another question regarding capital allocation. How do -- which is the optimal allocation between buybacks and dividends? And how do you current -- how do current market conditions influence this analysis regarding buybacks and dividend payments?
Matias Gaivironsky: What we did in the last years was to give priority to payments in cash, so dividends instead of buybacks. Although we did -- in terms of size, we did buybacks in the last 3 years for both for IRSA and for Cresud, will be more priority for the cash payments. There is some restrictions from the CMB. It's not we can't use all the money to buy back shares because there is certain restriction that we can buy up to 25% of the volume of the shares. So that in a certain way, limits the size of the buyback programs in our case. So we prefer to give the money to our shareholders and they can buy back shares as well if they believe that the shares are cheap, that we do. We think that there is a very good opportunity to keep buying shares. And if we have the liquidity, we will keep doing that.
Santiago Donato: Thank you, Matias.  I have another question here regarding our stake in BrasilAgro. What is the advantage, disadvantage of owning this stake in BrasilAgro versus the whole company?
Alejandro Elsztain: As you probably know, we did this company in the Bovespa market and the Bovespa that is probably the more regulated and advanced market in Brazil, give us authorization to buy up to 42%, no more than that. Today, Cresud only 35%, it is close to that. So we are not thinking of owning 100%. This is a story that was done from the very beginning, and that was a blind check. We did that company through raising capital without having any employee, any farm, any notebook. So that was a public company from the origin and Cresud began with 7% and went to 40% in some moments. Today, we have in the 35% level, and we are happy with that strategy and land the company in BrasilAgro, it's in the mission. And as you probably know, the last 3, 4 years, BrasilAgro was benefiting through the selling of the assets we were buying 10 or 15 years before that they had a very important appreciation. So we had sales of more than $350 million in the last 3.5 years, benefiting with that and having a positive cash flow, this company has a net debt positive because of a lot of sales done in installments. And today, that company is intending to buy again when the opportunities are going to come, and we are expecting that some companies forced to sell because of the interest rate going higher in Brazil. So that company is waiting for that moment. But related to Cresud, this ownership is enough good for us.
Santiago Donato: Another question regarding Brazil that there is reporting a major drought in Northern Brazil, we had some impact-to-date?
Alejandro Elsztain: As I know, the only impact was the delay on planting comparing to last year, and that will affect some of the second crop, probably we'll have some less safrinha of corn for the plantations in Brazil. So this drought that delayed all Brazil made probably the soybean plantation to be later. And when you have like that, you will have less corn of second crop in that region of Brazil. But really nothing very material for our results. We are expecting a much better result in BrasilAgro this year, sugarcane is in a much better position. There are not decreases on the price of the soybean and the corn related to our budget. The costs were lower to last year. So we are expecting better-than-last-year results related to the operation, plus the real estate that the first quarter, we showed a sale, and we are expecting for the next 3 quarters, some more sales for the company.
Santiago Donato: Okay.  We'll give some minutes more for any additional questions that you may have. Please use the chat. If there are no more questions, we conclude the presentation and the Q&A, and I will turn back to Alejandro Elsztain for his closing remarks.
Alejandro Elsztain: As you know, first quarter is not so relevant for us. It's just the beginning of the plantation. But having sold 2 farms, 1 in Argentina, 1 in Brazil and expecting 1 in the quarters plus the operational being normalized for climate and the higher size that we are achieving. I mean the beef cattle too, producing -- we are expecting to be in a very high production in beef in Argentina. So we are optimistic in the operational and real estate and the service for the year. So we are optimistic in this business and mainly to Cresud that can be taking the opportunities where majority is not. So we are very optimistic of the year. So just to thank you very much, and have a very good day.